Operator: Hello, ladies and gentlemen, welcome to the McEwen Mining's Q1 2022 Operating and Financial Results Conference Call. Present from the company today are Rob McEwen, Chairman and Chief Owner; Anna Ladd-Kruger, Chief Financial Officer; Rory Greyvensteyn, Director of Operations, Canada; Adrian Blanco Director of Operations, USA and Mexico; Stephen McGibbon, Executive Vice President of Exploration; Michael Meding, Vice President of McEwen, Copper and General Manager. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]  I will now turn the call over to Mr. Rob McEwen, Chief Owner. Please go ahead, sir. 
Rob McEwen: Thank you, operator. Hello, ladies and gentlemen, welcome to our first quarter 2022 conference call. Last year we saw signs of our turnaround in progress. The trends look good as we closed on 2021 with higher gold production and lower production cost per ounce relative to 2020. This year, our results have been mixed. The Fox Complex started strong and then was slowed down by manpower shortages induced by COVID and that was followed by an equipment failure in the mill. But despite these issues, Fox produced more gold at lower cost than it did in the first quarter of 2020.  An important development in Q1 was our Preliminary Economic Assessment that outlines the future growth prospects of the Fox Complex. It details a bright future for Fox with a nine-year mine life, significantly longer than what we have right now and attractive mining costs. We are confident that our exploration will result in a shortening of the payback period and an improvement in the economics. Our Director of Canadian operations Rory Greyvensteyn will be expanding on the activities later on this call.  Mining at Gold Bar, the costs were very high, and we expected that, because we are in a transitory stage of our mining cycle where there is an extensive period of stripping to remove over burden in order to reach the ore zone. Adrian Blanco, our Director of Operations for America and Mexico will elaborate on both these operation. At the San Jose mine, which is operated by our joint venture partner Hochschild Mining, COVID induced manpower absences resulted in a temporary mine shutdown that adversely impacted gold and silver production and the costs associated with that production.  Looking ahead, our partner believes that they'll be able to make up what was lost in the first quarter over the balance of the year and deliver on guidance. At our Los Azules project, we have made much progress that I believe is significantly increasing the value for McEwen Mining of this large asset. Michael Meding, our Vice President, McEwen Copper will provide you with an update.  We encountered a cash squeeze during Q1 as a result of our revenue shortfall. Then, however, I feel confident enough that the future value -- in the future value of the company to personally step up and provide the company with $15 million. We own a portfolio of assets, the majority of which are located in well-known prolific gold producing districts in areas considered exploration rich real estate and that is why we continue to invest in exploration with the belief that we will be able to extend the life and size of our mine.  We also own a huge copper project that is looking increasingly more valuable as a result of our investment, as a result of the surging demand for copper, as a result of the higher copper price and the changing geopolitical environment in the largest copper producing area in the world.  At this point, I would like to ask Anna Ladd-Kruger, our Chief Financial Officer to provide an overview on McEwen Mining's financial results for the first quarter of this year. 
Anna Ladd-Kruger: Thank you, Rob, and good day everyone. The COVID-19 pandemic continued to impact our operations in Q1 in areas of supply chain, labor shortages and inflationary pressures. We continue to monitor the impact of these factors on our financial condition, liquidity, operations, suppliers and our workforce.  Our consolidated net loss in Q1 was $19.3 million or $0.04 loss per share. It relates primarily to $14.4 million invested in exploration and advancing our Los Azules project. Our operations had a total gross loss of $6 million. Contributing to this was $4.1 million loss from our Mexico operations as we wind down residual heap leaching. We expect to make strategic decisions on our Mexican business units in the second half of this year.  We benefited from higher average realized gold price of $1,895 per gold equivalent ounce in Q1 versus $1,763 per gold equivalent ounce in the same quarter of last year. Consolidated production in Q1 was 25,100 gold equivalent ounces, this included 14,400 gold equivalent ounces from our 100% owned operations, which was 4% higher than the same period last year.  Average cost per gold equivalent ounces sold in Q1 from our 100% owned lines were $1,696 per cash costand $2,146 for all in sustaining cost. These were expected to be higher this quarter. However, they did come in lower than we guided to the market in March. Liquid assets at the end of the first quarter, which includes cash, cash equivalents and restricted cash was $70.4 million, of which, $35.6 million is attributable to McEwen Copper to advance Los Azules project. A few transactions this quarter to bolster our treasury, include a flow-through raise of $15.1 million or $1.04 per share and an unsecured promissory note of $15 million.  We also amended repayment terms on our senior debt facility, deferring principal payment to August 2023 and the ultimate maturity to March 2025 given that further liquidity this year. We also ended the quarter with the stockpile of 36,000 tons of ore at an average gold grade of 2.6 grams per ton, ahead of the mill at our Fox Complex operations. We are continuing to manage our operating margins by reviewing capital expenditure, production costs, material contracts, management systems and procurement synergies between operations.  And lastly, as most of you know, I suffered from a brain aneurysm in December and through all odds, a lot of support from family, friends, McEwen Mining and the mining community in general. I'm thankful to be here speaking and I just got 100% recovered. On the back of this healthcare, I've decided to retire from the Executive role and focus my time with my family, Board roles and nonprofit work as well.  Thank you. And I will now turn the call to Rory for operations review at the Fox Complex. 
Rory Greyvensteyn: Thank you Anna. The Fox Complex produced 7,700 gold equivalent ounces in Q1, with total cash costs and all in sustaining cost of $1,193 dividend and $1,729 per gold equivalent ounces sold respectively. The Froome mine had a solid performance in Q1 in line with our budget. Challenges at the mill reduced our gold production in Q1, but as a consequence we not have considerable stockpile in the mill that provides variety of flexibility to reduce costs in future quarters.  Our team is implementing needed upgrades to the mote to insure it is capable of processing higher are production right from the Froome mine. Moving forward, in the remainder of 2022 in relation to additional screening at the mall we'll reduce crushing requirements. This will ensure the Fox Complex meet it’s guidance for 2022. Thank you. Adrian will further speak about operations at Gold Bar. 
Adrian Blanco: Thank you, Rory. Gold Bar achieved the production target for gold in Q1 at 6,300 ounces. The heap leached recovery was higher as compared to the 2021 feasibility study and the gold grade at the mine was also 8% better than expected. On the other hand we anticipated to have a high cash cost in Q1 as we began mining the Phase 2 of the Pick pit this year. These transition involved a high stripping ratio of almost six to one in the first quarter as compared to the four to one expected for the full year. In addition, we anticipated to lose a few days of production due to weather conditions in the early months of the year.  We are finding presence of carbonaceous our since we began mining the Phase 2 off Pick. Preg-robbing carbon is not suitable for heap leaching. However, we have been successful to isolate such ore in order not to affect the gold recovery. In addition, the environmental permit approval for the Gold Bar South deposit was received in April and we are planning to begin the whole road construction this quarter and be ready for mining in the second half of 2022.  We are anticipating a negative impact to production in Q2 from the ore losses to carbon. But we are planning to maintain our gold recovery high as seen in Q1 and we are also defining potential new sources of ore for the 2022 mine plan from the Atlas pit and old waste dumps, as well as advancing that readiness of the Gold Bar South deposit to begin mining in Q3. In addition, Gold Bar is implementing many actions to reduce cost and CapEx, for instance, the CapEx for the whole road construction and the heap leach expansion will be less than anticipated and our mining contractor is improving the product PBT of drilling and blasting since two months ago, which will certainly improve our cash per ounce going forward.  I will now turn the presentation to Steve, who will talk about our exploration program. 
Stephen McGibbon: Thank you, Adrian. Our Q1 exploration investments in Ontario and Nevada totaled $3.2 million. The goal at each is to extend the life of our mines. At the Fox Complex near Timmins our stock property covers eight kilometers of the Destor-Porcupine Fault and includes three gold deposits that occur within a three kilometer if length that our open for expansion. For 2022 we have four key target areas near our Stock mill with excellent potential to materially grow mineral resources based on poorly tested vertical and lateral trends. At Stock we targeted near surface delineation of mineralization during the first quarter, believing a successful outcome could shorten the payback period for the Fox PPA delivered earlier this year.  The remaining five kilometers at Stock is under explored, both to the east and west of the Stock Mine. Another target is based on historic drilling that intercepted multiple mineralized zone structures with graded of up to 16.5 grams per tonne located 1.5 kilometers west of the Stock West deposits. At Grey Fox post to our largest and highest grade mineral resources, attractive exploration targets include multiple intersections, drilled West of Whiskey Jack that we reported on in our April 25 press release, that included 7.29 grams per ton gold over 15.35 meters and 4.75grams per ton gold over 25.2 meters.  At Gold Bar in Nevada, Q1 exploration activities focused on several areas. In the mine on Southwest Pick extension and Cabin North testing for extensions of the mineralization continued. The best of these oxide assays, included 1.93 grams per ton gold over 38.6 meters. Drilling is continuing at Pick. At the Atlas pit located three miles west of the Gold Bar Mine. We are following up on a hole that contained 3.1 grams per ton gold over 27 meters of oxide mineralization down dip to the east below the pit bottom. At our San Jose joint venture in Argentina, $1.7 million were spent in Q1 on a 100% basis of a $7 million exploration program for 2022.  Typical intercepts of high-grade gold and silver were encountered in multiple holes at the Celina and Celina Piso vein, and include 8.3 grams per ton gold over -- and 561 grams per tonne silver over 1.2 meters. A further 2,000 meters of resource delineation drilling will be conducted in Q2. The San Jose property surrounds Iman’s Cerro Negro mine and is host to high grade epithermal gold and silver deposits. At Los Azules in San Juan province Argentina, our exploration program has completed 11,500 meters year to date, weather permitting the drill program will continue until mid-June and then resume again in early October. This is drilling is confirming the mineralization of historic intercepts used for the 2017 PEA mineral resource estimate.  In many instances persistent copper mineralogy incurred encouraged us to continue drilling beyond the planned hole depth and is often still apparent when the hole is stopped. Hole AZ22142 intersected 419.1 meters of 0.79% copper and included an interval comprising 104 meters of 1% copper in the supergene enriched zone and 46 meters of 1.59% copper in the hydrogen primary copper zone. Importantly, our updated geological model will reflect to some vertical structures and rock types that are key features controlling the distribution of mineralization. New to our program this year geologic modeling is being augmented and with the hyperspectral scanning program of all current and available historic core allowing for a level of refinement not captured in previous work.  I will now turn the presentation to Michael, who will tell you more about our developments at Los Azules. 
Michael Meding: Thank you, Stephen. The Los Azules Copper project is located in San Jose province of Argentina, an mining province ranked highest for investment attractiveness in Latin America by the Fraser Institute. According to Mining Intelligence, Los Azules is one of the top 10 largest undeveloped copper project by results. With GBP10.2 billion in the indicated category and GBP19.3 billion in the first category, assessment by the 2017 PA.  Since that time expensive enterprise optimization work has been completed on potential like scale, lower costs and our footprint options reviewing opportunities to guide to drilling and technical workflows. In Q1 2022, McEwen Copper spent $9.8 million to advance the Los Azules Copper project, actively progressing drilling, road construction, technical studies and community engagements. Year to date 11,500 meters of drilling has been completed and approximately 13,000 meters of drilling is targeted to be completed by the end of June.  The critical issue of road access to the site has been resolved. Los Azules is no longer remote and cut off from the world for six to seven months of the year, we have developed a second road that will allow us year-round access to the site. Is the significant advance because it will allow us to advance and complete our field work faster and at lower cost. Another exciting development is the completion of the enterprise optimization study conducted by Whittle Consulting of Australia who specialize in optimizing mine design by generating and evaluating a large number of different operating scenarios. Their work focused on the following objectives. Improved value, optimize scale, minimize risk and enable fast trade off analyzes of environmentally friendly green regenerative solutions. The analyzes indicated that there is potential to significantly increase the project value. The results as their work will be included in the updated PA to be completed in Q1 of 2023.  I will now turn over to Rob. Thank you. 
Rob McEwen: Thank you, Mike. We have two executive searches underway as a result of some departures, and I wanted to note that, we're saying goodbye and thank you to two senior members of our team. As you've heard, Anna is retiring and Peter Mah, our Chief Operating Officer is stepping down to concentrate on family issues and other opportunities.  In the interim we have engaged the services of Perry Ing, who is a former CFO of the company to step in during this period as we search for a new CFO. And to cover off on our Chief Operating Officer, we have a very good fortunate of having a Director, Bill Shaver, who has said that he would serve in that interim capacity and when I say we're fortunate, Bill has had 50 years in the mining industry, he was the Co-Founder of Dynetek, a very successful mining contracting firm. And so we have that covered off as we're searching for a new CFO -- CEO -- COO, sorry. There's is a lot of changes going on here. So -- and we feel very comfortable with that set up.  This concludes our presentation. But before that, I'd like to ask Bill to make a comment or two about the operation. 
Bill Shaver: Yeah. Thanks very much, Rob and good morning everyone. For many of you on the call, you’ve probably heard about me at some point in your career and I'm happy to step in and help out over this interim period. Most of my background is in mining construction business and in running operations of the sites that McEwen has. So I'm really looking forward to being part of the process of engaging a new COO and also for helping the rest of the operations in any way I can. And to that extent I have now made a visit to Timmins a couple of times, also to Los Azules and actually just before the end of the year made a trip down to Gold Bar. So there'll be some visits to Gold Bar and Los Azules in the next month or so. But anyway, I'm looking forward to doing what I can to help out. Thank you. 
Rob McEwen: Thank you very much, Bill. Happy to have the onboard. And operator could we now go into the question and answer period. Thank you. 
Operator: Certainly. Thank you. [Operator Instructions] Your first question comes from the line of Joseph Reagor from ROTH Capital Partners. Your line is open. Please go ahead. 
Joseph Reagor: Hey, Rob and team. Thanks for taking the questions. So first thing on Los Azules, obviously, it's a big part of the future value of the company, especially from your perspective, but what's the spending going to be like there for the rest of the year? It was pretty decent sized number in Q1. And I'm just trying to model out the rest of 2022. 
Rob McEwen: We're entering the winter season in Argentina right now. So a lot of that expenditure we've done to date has been associated with drilling and maintaining a large camp up there. I would expect that to be less and the money that we have in the treasury to take us through this year. 
Joseph Reagor: Okay. 
Rob McEwen: Drilling will resume expected in October. 
Joseph Reagor: Okay. So a little later in the middle two quarters and a little heavier at the end of the year? 
Rob McEwen: That's correct. 
Joseph Reagor: Okay. And then at Gold Bar with this carbon issue encountered, do you have an idea of what percentage of the Pick deposit might have this carbon in it so far? 
Rob McEwen: It's early. Adrain, do you want to jump in there? 
Adrian Blanco: Yes. Thank you, Rob. It's early to determine that number, certainly the presence of carbonaceous ore represents a concern to achieve the production for the second quarter. However, we are looking at ways to bring new sources of ore to the mine plan in 2022 from the Atlas deposit and old waste dumps, so should be able to partially overcome this carbon issue. 
Joseph Reagor: Okay. Thanks for the color on those things, guys. I'll turn it over. 
Rob McEwen: Thank you. 
Operator: Thank you. Your next question comes from John [Moran] (ph) from South. Your line is open. Please go ahead. 
Rob McEwen: Hello, John. 
Unidentified Participant: Yeah. Hi Mr. McEwen. I've been a shareholder for about 10 years, I have 400,000 shares, average base is about 160, 170. I have a series of questions, I'd like to ask short one at a time. First is, are there any institutional investors buying or selling recently? I'm asking that because I'm wondering if they are taking advantage of the low stock price to get a larger position. 
Rob McEwen: It's a good question. I don't have an answer for you. I can put it, there hasn't been conversation with the institutional investors recently that are saying they're buying. But you raised a good point, it's an attractive price to come in. 
Unidentified Participant: The next one. In a prior conference you mentioned that the Q1 copper might be worth about $3 and I know there is 69% that McEwen Mining has in it. And why do you think that's not factored into the stock price now. 
Rob McEwen: There are a couple of reasons. One, we just completed the second access to it. The drilling there has been some information coming out, but not a lot. And I guess more recently, there is some nervousness in the marketplace. It has been obscured by some of the operating issues that we have in the gold and silver production area. 
Unidentified Participant: Okay.
Rob McEwen: I think, I mean, the copper price is going up, Los Azules is getting it, the profile is growing a bit larger, it's Mining Intelligence. As you heard from Michael, it is viewed at the ninth largest undeveloped copper project in the world, not owned by a major Argentina. They're changing their tone and encouraging Mining, while their neighbors in Chile and Peru, the governments there are making it more difficult to want to invest there, higher taxes, more regulations. It's emerging and I'm -- but I can’t explain why it's not trading and where we want it to. 
Unidentified Participant: Next one. Now that the prices dropped precipitously, how will be the delisting affect the company?
Rob McEwen: Never having gone through a delisting. I don't know. I’d have to -- I’d only be able to speculate. There are many exchanges that it could be traded on and it has the volume -- on currently has on New York. So we'll have to see. And that will depend on what the state of the equity markets are. 
Unidentified Participant: All right. Next one, not that you are, but if the company was sold today to some another company, what do you think it would approximately sold for. I'm asking that because, I'm wondering whether since my average basis is like $1.60. $1.70 it would be worth buying more. 
Rob McEwen: An excellent question. I wish I could see into the future. I don't have an answer for you. I'm sorry, John. Not that you could rely on.
Unidentified Participant: Okay. And the last one is, is there any chance that the company might become insolvent or go into bankruptcy? 
Rob McEwen: I guess there is always a possibility, but at the moment our liquidity is strong enough, we have assets that have value. I don't see that as a real possibility. Otherwise, we wouldn't have put in another $15 million. 
Unidentified Participant: All right. Okay. All right. Thank you so much. I really appreciate you're trying to answer these. I wish all the best. 
Rob McEwen: Thank you very much. Thank you for your question. 
Operator: Thank you. Your next question comes from the line of Michael [Ela] (ph). Your line is open. Please go ahead. 
Rob McEwen: Hello Michael. 
Marcus Giannini: Hi. I think that was supposed to be Heiko. But this is Marcus Giannini calling in. Yeah, thanks for taking my questions. First one, you're expecting meaningful exploration spend at Fox for this year given that you've spent $1.7 million in Q1. Can you break out the remaining $8.3 by quarter for the remainder of the year? And then since we're halfway through Q2, what is the spend year-to-date, if possible? 
Rob McEwen: All right. I'll ask Stephen McGibbon, our Executive VP, Exploration. 
Stephen McGibbon: I'll answer that question with fairly broad strokes. So the $1.7 million spent in the first quarter is generally consistent with what would have been anticipated or what is anticipated based on our 2022 budget, which more or less had consistent spending throughout the year with the flow through financing that was completed in March, we're now reviewing our program with the view of our plans through to the end of 2023 and that may impact planned spending in 2022 versus the original budget. And we're working through that process now and should have a clear answer on that before the end of the second quarter. I would anticipate likely looking to accelerate to some level our planned spending in 2022 versus the original budget. 
Marcus Giannini: Okay. And then for 2023, the $15 million, should we just sort of break that out in terms of divided by four for quarterly spend. 
Stephen McGibbon: At this point, I think that's probably the most reasonable view to take. Clearly spending is results dependent and we'll try to be nimble and be in a position to adjustments and accelerate if the opportunity presents itself. But for now I think it is [indiscernible]. Thank you. 
Marcus Giannini: Yeah. And then last question. I'm sorry. Go ahead. Rob. 
Rob McEwen: No, no, I didn't mean to interrupt your question. 
Marcus Giannini: Okay. Yeah, one more in. Just sort of speaking about exploration spending and given all the talk around inflation, how you're drilling costs doing? Have you seen any sort of price movements given recent fuel increases? And how is that reflected in these drilling expenditures. 
Rob McEwen: Drilling contracts were entered into late -- in the fall of 2021 and our overall costs in Q1 on a unit basis were in line with that. And just to throw a number out there, it would have impacted our costs less than 10% versus what we experienced in 2021. I think the greater challenge has been in our contractors being able to secure experienced personnel and manpower related, materials related issues that possibly represent of risk. But from a cost standpoint, they've been very much in line with our expectations. 
Marcus Giannini: Okay, fantastic. That's it from me. Thanks for taking my questions guys. 
Rob McEwen: Thank you. 
Operator: Thank you. And my apologies for Heiko’s name. Your next question is from Bill Powers, a private investor. Your line is open, please go ahead. 
Unidentified Participant: Hi, Rob. Thanks for taking my call today. This is very informative today. A few questions, I guess as far as the closing of the second tranche of the financing philosophy, I know you had previously mentioned that you were fairly close with, I guess, into one or more parties and I was wondering what you -- where that stands and what your thoughts are toward getting that closed or I guess opening it up at a later date?
Rob McEwen : We may get to a point where we close it soon and open it up at a later date, and based on what we've done going forward. We've had a number of conversations, they seem very serious and it looked like they were about to close, but there is always another question and another question. So your suggestion or comment about closing it and saying, well, the next time we come back to the market, given the money we have will take us around for next year that -- we've advanced the projects significantly. So the price of entry will be higher. 
Unidentified Participant: Yeah, I mean -- just as a -- an observer of this, It seems as though -- substantially more drilling results between now and it's a little unfair to -- I don't know how to get to -- to lock in the same prices, what was previously offered when -- before the spend was done. But anyway that's -- I hope you can move that forward. It sounds like, given the results of some of your neighbors, it sounds like there should be sufficient interest in that I would think. 
Rob McEwen: I agree. There is some -- there have been some big drill results coming out of the province we're in. 
Unidentified Participant: Yes. And speaking of that, I saw Filo put out the results today that were off the charts as far as grade goes. When you are -- not that you could read into the future, but are there -- how similar -- what you're doing compared to what they had done or are you guys -- familiar with what the comparison goes as far as that goes. 
Rob McEwen: Well, we're not -- we're probably about 200 kilometers away from them, but with a long spine and in terms of what they're hitting. Steve, do you have knowledge of – 
Stephen McGibbon: Not of the press release today, but in general terms, higher allocation, lower grade, but certainly, they've been putting significant deep results from their drilling this year. 
Unidentified Participant: Okay. That's great, thank you for that. The second question I had is, how -- I know you recently put out some results as far as at Stock goes and how many -- and I think though it's trending in a positive direction. I guess how much more drilling is going to be needed before you could decide that these are going to be -- where you're drilling is going to be economic, is that, I guess, another six months or sometime next year or sooner. 
Rob McEwen: Our PDA was before starting the Stock West deposit. It was 144,000 ounces indicated and I believe that 111,000 inferred. So we do need to do drilling, which is part of our plan for this year to upgrade and to further just derisks the resource. So we want to try to move many of those inferred ounces indicated, but outside of that, the deposits are still open. The nature of these deposits are that you typically expect there to be vertical continuation or continuity to the mineralization that we haven’t fully tested. And as I alluded to, there are a significant number of kilometers on the Stock property that are what I characterize as quite underexplored. So, to me the -- and this is just my personal feeling is that, the PEA is the first step in the journey that I believe is going to ultimately realize a long term and meaningful material opportunity for the company after the Stock property. We've got three deposits, all of them open to depth. I believe there is a very good opportunity for a fourth to potentially be identified in drilling this year, but for now the drilling that we’ve planned for Stock West deposit in 2022 should significantly derisk that opportunity for us in a position to make to decisions about the future. 
Unidentified Participant: Okay, that's very helpful. One last question, as far as I noticed in the press release that the Gold Bar South is been permitted and it sounds like you're moving forward with the access or with the haul road. Is this going -- is the plan to have Gold Bar South produce along with Pick and some of the other pits that are already in production and/or is it going to be for production that solely come from Gold Bar South once it's up and running. 
Rob McEwen: It would be for all of the areas for mining, Bill. So Gold Bar South would be working in combination with the others. 
Unidentified Participant: Okay. And would that be additive to your current rate of production or would those be depleted down -- the others will be depleted down as Gold Bar South comes up. 
Rob McEwen: As you said, we are just compensating as the other ones are going down, Gold Bar is coming up. 
Unidentified Participant: Okay, that's all I had today. 
Rob McEwen: On your comments about Cerro. I mean I just saw their results, they are quite exceptional high gold values, copper and long intercepts. I don't know, Steve, could you just comment on some of the intercepts we've been getting at -- they've been more copper than gold in that. 
Stephen McGibbon: Yeah. As mentioned in the year in the presentation and in our press release last week, the majority of the holes that we're drilling and I'll characterize as in the core of the deposit. We've been drilling those holes 500 meters, 600 meters length and typically we're making a decision to start the hole, not on the absence of mineralization, but more on the kind of the progress, the drilling productivity of the driller that the progress slows too much and we decide we will start the hole for now and move on to another hole. So the nature of gold deposits are form that we expect mineralization will likely go much deeper and we will have exploration programs in the future to test that, but we've had drill intercepts of 400 meters to 500 meters approaching one gram per tonne at least in one of our holes -- I'm sorry 1% copper, I think it was 0.79% copper. So with intervals within those intercepts that are double that kind of grade, 1%, 1.5% copper or more.  So the drill program we've conducted so far this year has demonstrated to us not just that the results from the past are being validated with the current drill program, but also that our understanding and expectations for the resource in time to be able to grow much more are supported by our understanding it and the work we've been doing on refining our [indiscernible]. 
Rob McEwen: And there is some big differences between the locations between Cerro and our ourselves. And starting with elevation, we're probably 800 meters lower. We're not impacting glaciers, and easier to get into than some of the other copper deposits in the area, including Cerro. Okay. Any other questions, Bill. 
Operator: Thank you. And that concludes our Q&A session for today. I will turn the call over to Mr. Rob McEwen for any closing remarks. 
Rob McEwen: Thank you, operator. Thank you ladies and gentlemen. Wishing you well. Goodbye. 
Operator: Thank you presenters. Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.